Operator: Ladies and gentlemen, thank you for standing by. Welcome to Copa Holdings First Quarter Earnings Call. During the presentation, all participants will be on a listen-only mode. Afterwards, we will conduct a question-and-answer session. As a reminder, this call is being webcast and recorded on May 6, 2016. Now, I will like to turn the conference call over to Rafael Arias, Director of Investor Relations. Sir, you may begin.
Rafael Arias - Director-Investor Relations: Thank you very much, Esther, and welcome, everyone, to our first quarter earnings call. Joining us today are Pedro Heilbron, CEO of Copa Holdings, and Jose Montero, our Chief Financial Officer. First, Pedro will start with our first quarter highlights followed by Jose, who will discuss our financial results. Immediately after, we will open up the call for questions from analysts. Copa Holdings first quarter financial results have been prepared in accordance with International Financial Reporting Standards. In today's call, we will discuss non-IFRS financial measures. A reconciliation of the non-IFRS to (1:12-1:43) uncertainties are discussed in our Annual Report filed with the SEC. Now, I'd like to turn the call over to our CEO, Pedro Heilbron.
Pedro Heilbron - Chief Executive Officer & Director: Good morning to all and thank you for participating in our first quarter earnings call. I first want to congratulate all of our coworkers for a solid quarter in a very challenging environment. Given the downturn in the regional economies, it is important to highlight that we're doing a very good job in controlling our costs and delivering our product reliably. I would also like to take this opportunity to thank Rafael Arias, our Director of Investor Relations, for his 13 years of contribution to Copa Airlines. As many of you know, Rafael has decided to take on a new professional challenge and this will be his last earnings call. Rafael will be replaced by Raul Pascual, who has over 10 years of experience with the company in the areas of network and fleet planning, treasury, revenue analysis and strategic alliances. Although we are sad to see Rafael leave and are grateful for his contributions, we're very confident in Raul's ability to lead our Investor Relations group. Now turning to our main highlights for the quarter. Our load factor came in almost one point higher year-over-year at 77.4% as passenger traffic grew over 3% on a 2% capacity growth. Yields, however, came in 15% lower, mostly driven by continued weakness in Brazil, Venezuela and Colombia. On a positive note, lower unit revenues were partially offset by lower costs as CASM decreased 10% from $0.093 to $0.083, and ex-fuel CASM came in 3% lower at $0.062. As a result, and despite $29 million of realized fuel hedged losses for the quarter, we delivered a solid operating margin which came close to 17%. On the operational front, we continued delivering the world class product our passengers expect from us. Our system-wide on-time performance came in above 90%, consistently among the best in the industry. So overall, we had a very solid quarter. Turning now to the rest of 2016. In terms of fleet, we will now receive one new Boeing 737-800 and return two leased Embraer 190, closing the year with 99 aircrafts, one less than the end of 2015. Furthermore, leveraging the flexibility in our fleet and continuing with our plans to exercise capacity discipline, we have deferred two additional aircrafts originally scheduled to be delivered in 2017, which will result in no aircraft growth next year, as we will now have six deliveries and six expiring leases. This underscores the flexibility we have embedded in our fleet plan and our willingness to adapt to a changing demand environment. Regarding our network, we have scaled back capacity in our most affected markets. Specifically, in Brazil, we have reduced capacity by almost 30% year-over-year as of March, and in Venezuela, we have cut about 20% year-over-year as of April. We also continue being more thorough and proactive in terms of adjusting and relocating capacity to better reflect demand and seasonality in our markets. Nevertheless, we continue to look for opportunities to strengthen our network. In our last earnings call, we announced our first new destination for 2016, Holguin, our third city in Cuba, which will start in June. More recently, we announced two more destinations: Chiclayo in Peru, also starting in June, and Rosario, our third destination in Argentina, starting in July. These routes will provide unique fit (6:14) to our hub as we continue to enhance Tocumen Airport, the Hub of the Americas, as the most complete and convenient connecting point in the region. In addition to strengthening our network, we continue to work in several initiatives that will ensure the long-term loyalty of our passengers. As an example, we continue developing ConnectMiles in order to enhance our service and providing incremental value to our customers, improve marketing and promotional capability, and grow ancillary opportunities. And we're in the process of launching a new mobile app platform as well as improvements to copa.com in order to provide enhanced service to our customers and drive further direct sales. Turning to our financial outlook for the year. We're seeing continued weakness in the regional economy. In fact, the IMF recently updated its 2016 economic growth forecast for Latin America to a 0.5% contraction, worse than last year, and worse than expected in the IMF's previous outlook. In recent weeks, we have seen a rally in regional currencies. Some of the most affected currencies, the Brazilian real, the Chilean and Colombian pesos, have gained ground against the U.S. dollar, which should eventually be positive for the region. We have also seen capacity rationalization by other carriers, which in one way or another are slowing down their growth. Stronger currencies and ongoing capacity rationalization should signal a better revenue environment. However, we still haven't seen this materialize in the short term and are facing a challenging second quarter with operating margins that could come in at low single-digits. Given this weak economic environment and the impact from a higher fuel expense, we are updating our full year guidance to a 9% to 11% operating margin. To summarize, we are pleased by the first quarter results. However, the regional economic environment remains weak, and in the second quarter, our low season quarter, we are facing significant yield pressure mostly from Brazil, Venezuela and Colombia. We are taking steps to mitigate this impact by reducing capacity mainly in Brazil and Venezuela and also reducing capacity growth for the year. Our team continues to deliver world class operational performance and, in spite of the downturn in the economics of Latin America, we have the best network, on-time performance, lowest unit cost, strongest balance sheet, and remain focused on creating value for our shareholders. Now, I'll turn it over to Jose who will go over our financial results for the first quarter in more detail.
Jose Montero - Chief Financial Officer: Thank you, Pedro, and good morning, everyone. Thanks again for joining us. I also want to congratulate our entire team for their efforts during the first quarter. I want to particularly highlight our discipline in controlling costs, which is a key pillar of our performance in this challenging economic environment. Before going over our quarterly results, I'd like to mention some important recent developments regarding Venezuela. In our annual report released this week, we decided to adjust our cash balance spending repatriation in Venezuela. Specifically, we transitioned our cash to the SIMADI exchange rate, now called DICOM, which stood at 198 bolivars per dollar. This adjustment generated a negative impact of $430 million to full year 2015, resulted in a reporting net loss of $224.9 million last year. As you might recall, back in February our Board of Directors approved a change to our dividend policy, calculating the payment of our annual dividend based on adjusted net income rather than reported net income. Given this change to our policy, the dividend payouts are not affected by the nonrecurring loss related to the Venezuela cash balance. Therefore, there will be no change in Copa Holdings' announced quarterly dividend payment of $0.51 per share for 2016. We continue our efforts to repatriate our remaining funds in Venezuela. In fact, during the month of March we repatriated $18.6 million corresponding to our March 2013 sales. This was paid at the SICAD rate of 13.5 bolivars per dollar that resulted in a non-operating currency exchange gain for the first quarter. Turning to our financial results for our first quarter, our revenues decreased 11.8% to $557 million. We grew available seat miles by 2% year-over-year, yet revenue passenger miles increased 3% year-over-year. As a result, consolidated load factor came in at 77.4%, a one percentage point increase over Q1 2015. Nevertheless, passenger yields were down 15%, mostly driven by the yield decrease in the Brazil, Venezuela and Colombia markets. On the expense side, first quarter operating expenses decreased 8% year-over-year and our cost per available seat mile decreased 10% to $0.083. The lower CASM was driven by a 27% reduction in fuel unit costs due to lower jet fuel prices and a 3% improvement in ex-fuel CASM which came in at $0.062, mainly due to weaker currencies, contract renegotiations with suppliers and other savings. Turning to operating earnings, consolidated operating earnings for the first quarter came in at $94 million with an operating margin of 16.9%. In the first quarter we also generated a non-operating net income of $32.8 million, consisting mainly of a $27.4 million non-operating gain due to a fuel hedge mark-to-market, and $18.1 million non-operating income largely due to the currency exchange transaction of the approved Venezuela repatriation, and $6.5 million in net interest expense driven mostly by a reduction of interest income in Venezuela. So in terms of net results, net income for the quarter came in at $115.4 million or earnings per share of $2.74, compared to last year's first quarter net income of $113.2 million or $2.57 per share. Excluding the fuel hedge mark-to-market gain of $27.4 million and the $18.1 million currency exchange gain, adjusted net income for the quarter came in at $69.9 million or earnings per share of $1.66, a 34% year-over-year decline compared to last year's first quarter underlying net income of $106.1 million or adjusted earnings per share of $2.41. With respect to fuel hedges, we ended the first quarter with hedges for 32% of our fuel volume. For full year 2016, our hedge positions remain unchanged. We are hedged for 33% of our projected volume, mainly using jet fuel swaps at an average equivalent price of $2.35 per gallon and zero-cost collars with a put level at $1.51. For 2017, we have approximately 6% covered using jet fuel swaps at an average price of $1.80 per gallon. I'd like to add that we are currently reviewing our hedge policy and we have not closed any new hedge positions since July of 2015. Turning to the balance sheet, assets reached almost $3.7 billion at the end of the quarter. Owners' equity totaled approximately $1.7 billion, debt plus capitalized leases totaled $2.1 billion and our adjusted net debt to EBITDA ratio came in at 2.8 times, one of the strongest in our peer group. In terms of debt, we closed the quarter with approximately $1.25 billion in bank debt, about 60% of which is fixed-rate debt with a blended rate including fixed and floating rate debt of approximately 2.6%. Looking at cash, short-term and long-term investments, we closed the quarter with a very strong balance of $723 million. So to recap, demand for air travel in our region continues to be affected by lower economic growth and devalued currencies in Latin America. However, we have the strongest network for intra-Latin America travel. We continue to excel in our delivery of low unit cost. We have one of the strongest balance sheets in our peer group. We continue returning value to our shareholders. In terms of our guidance for 2016, given fuel prices, the economic outlook in the region and demand trends, we are updating our 2016 full year guidance as follows. We are lowering our capacity growth in terms of ASMs to plus or minus 2%. Load factor is expected to come in at plus or minus 76%. Based on our near-term forecast and visibility, we are lowering our RASM guidance to plus or minus $0.096, we're lowering our CASM ex-fuel guidance to plus or minus $0.064, and we're increasing our fuel price assumption for the year to an effective price per gallon, including into-plane and net of hedges of approximately $1.80, up from $1.70 in the previous guidance. In respect of our operating margin, given our lower unit revenues and the increase in our fuel price assumption, we are lowering our guidance to a range of 9% to 11%. Thank you. And with that, we'll open the call for some questions followed by closing remarks from Pedro.
Operator: Thank you. Our first question comes from the line of Mike Linenberg with Deutsche Bank. Your line is now open.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Hey, thank you. Good morning, everybody. Hey, just a couple questions here. In the press release, it talk about the unit revenue weakness due in a large part by the reduction in yields in Brazil, Venezuela and Colombia. But then the release goes on to say, as well as further demand meet weakness in other markets. And I'm just curious – I mean, we've been focusing on Brazil, Venezuela and Colombia – what are those other markets? What are the other markets that may be contributing to some of the weakness?
Rafael Arias - Director-Investor Relations: We're waiting here for questions, so...
Operator: Our next question comes from the line of Duane Pfennigwerth of Evercore. Your line is now open.
Rafael Arias - Director-Investor Relations: Hello?
Pedro Heilbron - Chief Executive Officer & Director: Operator?
Duane Pfennigwerth - Evercore Group LLC: Hey, can you hear us? Guys? [Foreign Language] (17:33 – 17:35)
Pedro Heilbron - Chief Executive Officer & Director: Operator?
Duane Pfennigwerth - Evercore Group LLC: It doesn't seem like they can hear us, operator.
Rafael Arias - Director-Investor Relations: They're speaking but we can't hear.
Pedro Heilbron - Chief Executive Officer & Director: Yeah.
Operator: One moment, please.
Pedro Heilbron - Chief Executive Officer & Director: We cannot hear, operator.
Rafael Arias - Director-Investor Relations: So I know that the first question was from Mike Linenberg, but unfortunately we can't hear the question. So we'll try to fix this technical issue and get right back to you.
Operator: Our next question comes from the line of Josh Milberg with Morgan Stanley.
Joshua Milberg - Morgan Stanley Corretora de Valores Mobiliarios SA: Good afternoon, everyone. Are you guys able to hear us yet?
Operator: Just a moment, Josh.
Rafael Arias - Director-Investor Relations: So, operator, can we restart the questions please? Thank you. Apologize for that.
Operator: Our first question comes from the line of Mike Linenberg with Deutsche Bank. Your line is now open.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Hey, thanks. Hey, can you guys hear me?
Rafael Arias - Director-Investor Relations: Yeah.
Pedro Heilbron - Chief Executive Officer & Director: Yeah. Now we can. Thanks.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Oh, perfect. Okay. Great. Hey, just on – just a couple here. On the press release, and I can – maybe to you, Pedro. In the press release you do highlight the fact that the lower unit revenues are driven in part by the production in yields in Brazil, Venezuela and Columbia, but then the press release goes on to mention further demand weakness in other markets. And I am just curious what other markets? Where are you seeing some of that additional weakness? Is this just, what started in a few countries is now spreading to other countries? Can you just provide some detail behind that?
Pedro Heilbron - Chief Executive Officer & Director: Yeah. Well, it's – over 80% is the three markets you just mentioned. So there's another – so we didn't want to just say that it's just those, a 100% those three, but it's over 80%. So whatever it's in other markets, it's not really significant. And all these are markets that are a result of these three markets, so obviously less feed to the north from Brazil is going to affect overall yields in that market. But again, the rest is spread in less than 20%. So there isn't a single significant one.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Okay. And I just was trying to get, like if you were seeing any point of sale weakness in the United States. I mean I think that the March quarter GDP print coming in a half a percent, you had a lot of people initially calling for 2% plus growth back in December and January for the March quarter, so the U.S. got a lot weaker. And I was wondering if you were referencing maybe point of sale weakness up north. But it sounds like maybe that's not what you were referencing.
Pedro Heilbron - Chief Executive Officer & Director: Let me look for that number. Did you have another question, Mike?
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Yeah. We can go offline on that. Let me just – if I can jump to one more. I mean, look, you had indicated that we were likely to see – you were going to eventually deal with the Venezuelan cash position and you had talked about it, and so we saw that occur in this quarter. But what I was actually surprised by was the fact that you were actually able to get some cash out of Venezuela. So what was the catalyst for that? Number one. Number two, should we expect that there could be more over the next few quarters? Even if it's $18 million a quarter, that's real; that's real money. So what was the catalyst? And what should we expect? What rabbit – how are you able to pull a rabbit out of the hat? Because I don't think anybody has been able to pull this off.
Jose Montero - Chief Financial Officer: Yeah. Mike, this is Jose here. You know we have been negotiating for a long time with the Venezuelan government, and indeed we got payment for one month's sales that were from – it was our oldest pending payment from the Venezuelan government during the first quarter of $18 million. And I think that was due to all the negotiations that we've been pursuing over a long period of time. But I don't really think that there is a high probability (23:07) we get a regular scheduled payments, at least in the short term. Although we continue engaging with the government and trying to reach a resolution to the pending amounts that we have, I wouldn't hold my breath for incremental or regular scheduled payments.
Pedro Heilbron - Chief Executive Officer & Director: Mike, what Jose is saying that it took us over a year of visits and negotiations. So we probably have to wait at least another year. But we don't really know.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Okay. That's fair enough.
Jose Montero - Chief Financial Officer: I mean, (23:38) that's I think an important aspect of it.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Okay. Very good. Thank you.
Pedro Heilbron - Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of Duane Pfennigwerth of Evercore. Your line is now open.
Duane Pfennigwerth - Evercore Group LLC: Hi. Thanks. Good morning.
Pedro Heilbron - Chief Executive Officer & Director: Good morning.
Duane Pfennigwerth - Evercore Group LLC: Can you quantify the amount of interest income that you recognized last year on your Venezuela cash?
Jose Montero - Chief Financial Officer: Yeah. You know what? Just to address a little bit of the interest income, I think that the first aspect that we have to mention is from an accounting perspective we really need to use one exchange rate for our financial statements. And we were using the official exchange rate at which airlines were mandated by the Venezuelan government. And so that's the reason why we reflected that. I'd say the way to look at this is, we feel that at least the comps on a year-over-year basis, if you look at our interest income line you see that it's up on a year-over-year basis about 55%. And I think that that's essentially how that account is going to behave, or that line is going to behave throughout the year. So again, that's a way to look at it.
Duane Pfennigwerth - Evercore Group LLC: So the $3.5 million decline in interest income, just that times four would be the magnitude of the income that you were realizing on your Venezuela cash last year?
Jose Montero - Chief Financial Officer: I'd say that that's an accurate comment to make, yeah.
Duane Pfennigwerth - Evercore Group LLC: Okay. And then can you talk about the unit revenue you – decline you expect in the June quarter and maybe third quarter, fourth quarter, underlying your revised guidance?
Jose Montero - Chief Financial Officer: Yeah. So we are seeing, from a unit revenue perspective a year-over-year decline in the second quarter in the low teens for the second quarter. And we're seeing specifically in the second quarter, which is the quarter for which we have the clearer visibility right now, we're seeing in off on a year-over-year basis around that kind of low teen level. For the second half of the year, still very little visibility, and that's kind of what's – that's what's driving the reduction in our unit revenue guidance for the full year.
Duane Pfennigwerth - Evercore Group LLC: Pedro, have you reflected at all on the company's historic policy of providing revenue guidance? I mean I certainly appreciate, last year was a dynamic macro backdrop with lots of moving parts, currencies, etcetera, but it just feels like it continues to be optimistic in nature and negatively impacting the company's credibility.
Pedro Heilbron - Chief Executive Officer & Director: Oh, yes. That's a good question. We have not a – we have not decided to do otherwise. We have decided to continue. And obviously this is the second year of a revenue roller coaster in Latin America where it's almost impossible to predict what's ahead of you. So we had a fairly strong first quarter, and we – I mean lower year-over-year unit revenues but okay, at very acceptable levels. And the visibility we had the last time we had this call was just that, that first March quarter and we've been surprised by a much lower than expected second quarter. So that's going to turn around; at some point it has to turn around. Airlines will have to have capacity discipline and rational pricing. The economies are going to, at one point stabilize. We see the currencies strengthening a little bit, but does that mean that it's going to normalize in the very short term? We don't really know. We just kind of have to go with the visibility we have, which right now is the second quarter, and expect that at some point things are going to go back to a more normal level, not at the same levels we saw before. But again, we've always provided revenue guidance, and I don't know – I don't know if it's the time to change it. But we'll see (28:25).
Duane Pfennigwerth - Evercore Group LLC: Thank you for the time.
Jose Montero - Chief Financial Officer: ...the market in terms of being – trying to see or present what we see in the most clear way that we know.
Duane Pfennigwerth - Evercore Group LLC: Thanks.
Operator: Our next question comes from the line of Savi Syth with Raymond James. Your line is now open.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey. Good morning.
Pedro Heilbron - Chief Executive Officer & Director: Good morning, Savi.
Savanthi N. Syth - Raymond James & Associates, Inc.: To kind of follow-up on kind of Duane's question, just – as you're thinking about the second half, could you just share what reflected – from a margin perspective, I don't think we've seen this much of a decline from 1Q to 2Q historically. And so are you thinking – in the past I think you said you are thinking of maybe normal seasonality as we think of the progression for the rest of the year. Is that how you are thinking about it and is that driven by fuel or is – are things kind of continuing to get worse on the revenue line and therefore you are just more conservative on the second half?
Pedro Heilbron - Chief Executive Officer & Director: Right. So this is Pedro. I'll try to kind of partially answer your question, and then let Jose give us more detailed information. The second quarter is our seasonally lowest quarter of the year. The third quarter is usually a strong quarter, and so is the fourth, although with the realities we're living right now, it's a lot harder to predict what's ahead. But if we think of the second half of the year, we are expecting the second half to be slightly below year-over-year, so slightly below the second half of 2015, which was, as we know, very weak from a year-over-year unit revenue perspective. And we are also expecting the second half to be slightly below the first quarter of this year. But at the same time, we are expecting the second half to be, let's say in the neighborhood of 10% – and this is all unit revenues, right? – in the neighborhood of 10% better than Q2 which we are forecasting to be quite weak. So it's not an overly aggressive second half of the year, but since we have little visibility right now, we're not throwing in the towel either. We are saying, okay, it will not be down year-over-year; it's going to be down versus the first quarter, but it should look better than the second quarter. Now, we have very little visibility, so – that's kind of going back to Duane's question in reference to giving out revenue guidance when we're not really 100% sure of how the economies are going to behave, how is competition going to price etcetera.
Jose Montero - Chief Financial Officer: Yeah. And in terms of margins, I think stepping back a little bit, Savi, first, we have to say also our guidance that we are providing today, the effect of the reductions here that we put on in operating margin guidance is mostly driven by the increase in the assumed fuel that we have. So must of the decrease in the guidance is driven by the increase in the assumed fuel price. Having said that, the second quarter operating margin does look to be low. It's going to be in the low single digits. And so that suggests that the second half goes back – kind of reverts back to the average within the range of the full year guidance that we're providing.
Savanthi N. Syth - Raymond James & Associates, Inc.: That's helpful. Thank you. Just on the – I wonder if you can provide an update on just how the credit card revenue's ramping up as well as maybe on the timing, if you have any more insight into the timing of the CSS system rollout.
Pedro Heilbron - Chief Executive Officer & Director: Well, I'll address the CSS, Pedro, and I'll let Jose answer the credit card revenue info. I don't know if he has it with him right now. But the CSS transition that we're working on should happen in the first half of 2017, so in the – towards the end of the first quarter of 2017. And then from then on, we should be able to implement certain, let's say, ancillary opportunities that we do not have today, which will probably kick in in the second half of 2017 and maybe we'll get full benefits in 2018. So 2017 is going to be a transition period. And not that we're going to do a lot of new initiatives right away right after switching on the CSS project, but for 2018 for sure we should see significant impact.
Jose Montero - Chief Financial Officer: And Savi, in terms of revenues, you step back and you look at it from the standpoint of just plain bookings, we're kind of flat versus last year. But the issue is the yields at which those orders are coming. So that seems to be off versus last year somewhat given the lower yields that we are seeing this year versus last.
Savanthi N. Syth - Raymond James & Associates, Inc.: Got it. All right. Great. Thank you.
Operator: Our next question comes from the line of Joseph DeNardi with Stifel. Your line is now open.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Hey. Thanks very much. So Pedro, you guys were able to take down your capacity growth for the year but also lower your unit cost guidance. So I'm wondering how much more you can take out of the capacity side without impacting – negatively impacting CASM. And then how much did the capacity growth reduction benefit your unit revenue guidance?
Pedro Heilbron - Chief Executive Officer & Director: Okay. So I'll let Jose address your question. But let me first say that when we take capacity, we're looking at bottom line results. So we're not so focused on how it's going to affect our unit cost, but we're looking at how much total cost we can save and what percent of those revenues we can retain in our other flights. So when we take capacity out, it's because it's going to have a positive bottom line effect, even though it might affect unit revenues – or it usually does. So it's just how we look at it. And then I'll let Jose address the specifics.
Jose Montero - Chief Financial Officer: Yeah. In terms of our unit costs, there are I think three main drivers here. The first aspect that makes the unit cost go down in this guidance is the fact that we have lower revenues. So – or lower unit revenues. They are driving down the cost figure there. Number two is FX. We have some expenses that are in local currency, and so the fact that we're seeing still a weakness in some of these markets has projected itself into the cost. And number three, we've been very aggressive in pursuing savings within the company in different areas. We're negotiating contracts with suppliers, etcetera. And that has also contributed to our view on a lower unit cost that we're projecting for the year.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. And then, Pedro, I think the – your agreement with United expires this month. Can you just provide us an update on where those negotiations stand? And does the agreement just kind of go on indefinitely as is until a new agreement is reached?
Pedro Heilbron - Chief Executive Officer & Director: Well, not necessarily, but that – those negotiations have basically concluded. And we've all been busy doing a million other things, but I think we can assume that those agreements will be renewed before they expire. So I think that would be a very fair assumption for all to make.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thank you very much.
Jose Montero - Chief Financial Officer: Thanks.
Pedro Heilbron - Chief Executive Officer & Director: You're welcome.
Operator: Our next question comes from the line of Helane Becker with Cowen & Company. Your line is now open.
Helane Becker - Cowen and Company, LLC: Thanks, operator. Hi, guys. Thank you for the time. I just have a couple of questions. One, does your guidance include the Rio Olympics and the expected decline in business travel during that timeframe?
Pedro Heilbron - Chief Executive Officer & Director: It does include it in the sense that we are not expecting a material impact during the Rio Olympics. There will be – there will probably be somewhat of a decline in business traffic. At the same time there will be some additional economy class or just traffic in general, and it will probably all net out. And we just don't see a positive or negative impact during the Olympics. And let's remember, the Olympics are a two-week event, so...
Jose Montero - Chief Financial Officer: And one city also. So...
Pedro Heilbron - Chief Executive Officer & Director: Yeah, and just one city. So...
Helane Becker - Cowen and Company, LLC: Okay. Okay. So it's unlike the World Cup where it kind of affected the whole country two years ago. It's just the one city.
Pedro Heilbron - Chief Executive Officer & Director: Well, the World Cup, yeah. The World Cup was like eight cities, nine cities, the whole month, and all of America is passionate about the World Cup. The Olympics is not as big a news in our part of the world. So it will not change that much the traffic patterns.
Helane Becker - Cowen and Company, LLC: Okay. And then my next question is you guys have an awful lot of aircraft on order, and I know you deferred a couple of aircraft that you mentioned during your prepared remarks. Is there a way to go back or have you thought about going back to Boeing and deferring additional aircraft from that large aircraft order?
Pedro Heilbron - Chief Executive Officer & Director: Right now, we don't think we need to. The way we structured that order, which is basically the max order you referred to, one is that we have flight rights (39:04). So we can actually defer a reasonable number of aircraft every year without having to ask Boeing for it. So that's already structured in the order. Plus the way we also have the order planned is that it will coincide with a number of both lease expirations and owned aircraft that reach let's say 15 years and 20 years of age, which will be very easy to get rid of. So if we had to, let's say, grow very little for the foreseeable future, and that's not what we're expecting by the way, but in a really negative scenario, we have a way of doing that without really having to renegotiate with Boeing. Having said that, we've been able to defer aircraft with Boeing in the past and in the recent past, and if we have to do a little bit of that, we are confident that we will be able to continue doing it. So we're quite comfortable with our fleet plan and the flexibility it gives us to adjust capacity to demand reality.
Helane Becker - Cowen and Company, LLC: Okay. And then my last question is just, I think that Venezuela is just $45 million or $47 million of revenue last year. So it looks like the decline in unit revenue might be more focused on Brazil and Colombia. So are those markets significantly worse than you were thinking they were going to be?
Pedro Heilbron - Chief Executive Officer & Director: Well, yeah. I'll start and maybe Jose wants to add something. You're totally right. Brazil and Colombia carry much more weight than Venezuela. So you're right there. And yes, they are much weaker than what we were expecting, and in the second quarter especially. So we've also lowered somewhat the forecast for the second half of the year, even though not as much as what we're seeing in the second quarter which is the lowest season quarter for those markets and for Copa in general. But yes, I don't know if you want to add something.
Jose Montero - Chief Financial Officer: The only thing is, as you mentioned, yeah, Venezuela right now represents – it's in the low single digits in terms of total percent of revenues of the company. But it has faced also a very steep reduction in its unit revenue performance in this quarter, and what we're seeing through the second quarter as well. So the drop has been fairly large year-over-year, but it is a small portion of the company's business.
Helane Becker - Cowen and Company, LLC: Okay. Thank you.
Jose Montero - Chief Financial Officer: Thanks.
Operator: Our next question comes from the line of Hunter Keay with Wolfe Research. Your line is now open.
Hunter K. Keay - Wolfe Research LLC: Hi. Thanks. Good morning.
Pedro Heilbron - Chief Executive Officer & Director: Hey, hunter.
Hunter K. Keay - Wolfe Research LLC: Hi. So, Pedro, I think you mentioned the lack of rational pricing and capacity (42:18) so that implies to me that you're allocating some of the blame here on poor RASM trends to some sort of self-imposed penalties that the industry is doing in terms of the things that you just mentioned. So if you were to sort of break down the headwinds between fixable problems and just macro, how would you allocate that?
Pedro Heilbron - Chief Executive Officer & Director: Okay. That's an interesting question. So I don't know how easily I can blame one or the other because we never know until you know in many of these things like fare actions (42:56) and the like, capacity, et cetera. But let's think of the currency devaluation in Brazil. So right now, I think the currency is probably 30% down or in that neighborhood year-over-year. And we've seen moments where fares are 50%, 60% below on a year-over-year basis. And in general, I think even though their earnings (43:25) have reported unit revenues are worse than (43:29) 40% below in Brazil. Load factors are not affected nearly as much, so a lot of traffic is being incentivized or maintained. So one could argue that there's room for pricing rationalization in that market and for sure in other markets. We also have to think that a lot of the capacity was put in, let's say, or planned for in 2014, when things looked a lot better. And then things turned south and – no pun intended there. And it takes more time to take capacity out than what it takes to plan and put it in. So we have reduced capacity in Brazil 30% year-over-year and as of March. And when we look at what other carriers are doing, so lately, we're seeing other airlines cutting Brazil, mostly Brazil. We have not seen as many reductions in the other markets of South America. But in Brazil, we've seen a number of carriers reducing capacity as of late. So that's a good signal. And hopefully, with the currency stabilizing, with capacity being rationalized, then we'll see eventually a healthier yield environment but it's not what's happening in the second quarter for sure.
Hunter K. Keay - Wolfe Research LLC: Okay. Thank you. And then given the strength of your balance sheet relative to some of the other competitors in your region, are you guys – it seems unlikely to me that you and your board are thinking about starting to take seriously dramatic action, because I would imagine there's sort of – even if things get worse, we're going to be the last (45:20) standing. So are you guys planning for a scenario where you have competitors liquidating and you're able to get a little bit inquisitive and buy some properties or assets at cents (45:31) on the dollar? Or is your sort of extreme scenario involving you guys making your own dramatic changes, not involving spending money and buying up cheap assets?
Pedro Heilbron - Chief Executive Officer & Director: Yeah. In this business, it's usually a big mistake to do anything hoping for your competitors to disappear, to go away. So I would say that we're probably going to be – do a little bit of everything in the sense that we're going to do what's right for Copa, what makes Copa more profitable and adds value for our shareholders. So that's going to be our priority. But we're not going to do anything radical for what you said, we're in the strongest position. We have the strongest balance sheet, the most complete network, best unit cost, highest on-time performance, et cetera, et cetera. So we're not going to do anything radical that we don't need to do. But at the same time, we will do certain things to make us stronger and more profitable, because that's going to help us come out of this crisis a lot stronger than all of our rivals. So we want to be smart and not go to either extreme.
Hunter K. Keay - Wolfe Research LLC: Thank you, Pedro.
Jose Montero - Chief Financial Officer: Thanks.
Operator: Our next question comes from the line of Pablo Zaldivar with GBM. Your line is now open.
Pablo Zaldivar - GBM Grupo Bursátil Mexicano SAB de CV Casa de Bolsa: Hello. Good morning. Thank you for taking my question. I just have a couple. In terms of yields, I don't know if you could give us a little bit of more insight of what you're looking at in the second quarter. Even I don't know if you could give us a breakdown of what you're seeing in your main markets like Brazil and Colombia.
Pedro Heilbron - Chief Executive Officer & Director: Okay. So...
Jose Montero - Chief Financial Officer: Yeah. Pablo, this is (47:28) Jose here. We're seeing in these three (47:31) markets yield drops in the second quarter on a year-over-year basis that is certainly in the double-digit range. And in some cases even above 20% on a year-over-year basis. And that's, again, in Colombia, Brazil and Venezuela, a weakness that we still are seeing represents about 80% of the total effect on our unit revenues for what we're seeing. So it is significant in the case of Brazil and Venezuela, even more so in the case of Colombia. But certainly they are way above even 20% yield drops for the three markets.
Pablo Zaldivar - GBM Grupo Bursátil Mexicano SAB de CV Casa de Bolsa: Okay. Thank you very much. That's helpful. And I don't know if you care to share any updates regarding the ConnectMiles program? I don't know if you have any new information that you can share with us about its performance?
Jose Montero - Chief Financial Officer: Well, we aren't necessarily going into (48:34) too many specifics. We are pleased with the performance of the program up till now in terms of its growth. The program in terms of P&L contribution, we expect it to, from an accounting perspective, be breakeven or close to breakeven during 2017. And this is just simply because of the way that accounting works in terms of the deferred revenue of the Miles the program issues. But from a cash basis, it is a contributor to our cash performance for the year, and we're very happy with the performance of the program.
Pablo Zaldivar - GBM Grupo Bursátil Mexicano SAB de CV Casa de Bolsa: Perfect. Thank you very much. That will be all for me. Thank you.
Jose Montero - Chief Financial Officer: Thanks.
Pedro Heilbron - Chief Executive Officer & Director: Thank you, Pablo.
Operator: Our next question comes from the line of Dan McKenzie with Buckingham Research. Your line is now open.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Hey. Thanks. Good morning, guys. Couple...
Pedro Heilbron - Chief Executive Officer & Director: Good morning.
Dan J. McKenzie - The Buckingham Research Group, Inc.: ...questions here. With respect to the sequential deterioration versus the prior outlook, I appreciate that 80% of the revenue weakness is linked to three countries. That's really clear. I'm wondering how you would characterize the weakness from a leisure versus corporate travel perspective. So what's happening on the corporate side versus the leisure side? And then related to this, how would you characterize any weakness, any incremental weakness tied from the ultra-low cost carrier growth in the region?
Pedro Heilbron - Chief Executive Officer & Director: Okay. So the thing with the weakness we're seeing is that it's monthly yields related and I mean – and maybe the low yields are generating enough traffic to keep load factors at the previous years' levels but whatever the reason, it's a yield, it's really a yield issue. So the leisure traffic is there. It's, I would say, strong but much lower yields, and business traffic tends to take advantage of that also. Especially a lot of the business we get in our part of the world are small merchants or small companies, et cetera, that sometimes are willing to adjust their travel plans to take advantage of certain fares. So I would not say that there's been a change in the amount of business and leisure travel or the relation between both and actually both groups are traveling in our (50:58) lower yields. Leisure much more than business for sure.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Then I guess, Jose, I'm wondering if you can talk a little bit about the development of the new revenue management system. I'm wondering what new capability it's going to give you that you didn't have previously. And specifically I'm wondering if it's going to give you the ability to unbundle your product or perhaps the ability to roll out an economy plus type product. I know that you referenced that but the last time I think you mentioned there was nothing on the table at this point. I'm just kind of wondering what the update here might be.
Pedro Heilbron - Chief Executive Officer & Director: Yeah. So all of the above. I mean we will be able to do all those things that you described that we cannot do today with our current CSS system, and it's not that we – any of those things are on the table but they're not off the table either. So in the past and in the recent past, we have not been able to do more than a few things because our CSS limitations. So starting mid of next year, 2017, we'll be able to do more. We'll be prepared and we should see some impact in 2018 for sure.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. Thanks for the time, guys.
Jose Montero - Chief Financial Officer: Not a problem. Thanks.
Operator: Our next question comes from the line of Stephen Trent with Citi. Your line is now open.
Stephen Trent - Citigroup Global Markets, Inc. (Broker): Thanks, gentlemen. Good morning, and thanks for taking my questions. Most of mine have been answered but just one or two. If you could refresh my memory, where we are with the expansion of Tocumen Airport, the south wing, and when should we see something concluded there?
Pedro Heilbron - Chief Executive Officer & Director: The work, I mean, the complete work it's going to conclude sometime in 2018, probably towards mid-2018 is what we understand, but we're hoping, and the plan is to make some gates available as early as second half of 2017.
Stephen Trent - Citigroup Global Markets, Inc. (Broker): Okay. Pedro, that's helpful. Thank you.
Pedro Heilbron - Chief Executive Officer & Director: And Stephen, I should say that they have already made available eight additional remote positions which are part of the new terminal project.
Stephen Trent - Citigroup Global Markets, Inc. (Broker): Got it. Thank you, Pedro. Just one other question, and I'll let someone else ask. As you look at where your equity stands today, have you guys given any thought to putting a little more muscle into your share buyback program?
Pedro Heilbron - Chief Executive Officer & Director: Well, we've been focused this morning in preparing for this call. So honestly, we haven't been looking at what you just said. But we will take a look after we hang up, don't worry.
Stephen Trent - Citigroup Global Markets, Inc. (Broker): Okay. Fair enough. And I'll let someone else ask you a question. Thanks, Pedro.
Operator: Our next question comes from the line of Rogério Araújo with UBS. Your line is now open.
Rogério Araújo - UBS Brasil CCTVM SA: Hello, gentlemen. Thanks for the opportunity. I had one follow-up on Tocumen Airport. It's very difficult to think right now on a scenario where Copa will be able to expand its number of aircraft significantly and not being able to complete the new gates that it will be enabled in the Tocumen Airport. So my question is regarding new competitors in Tocumen. Do you think it could happen after its expansion? And if so, which could be (54:41) for Copa? Thank you.
Pedro Heilbron - Chief Executive Officer & Director: No. We don't think that that in additional competition in Tocumen is really directly related to the airport expansion or to capacity. Because up until now, there have not been capacity restrictions at Tocumen. And Tocumen is kind of a first serve, first come type of airport. So right now the airport is congested during certain peak hours, but off-peak there is plenty of capacity, plus what I just mentioned, is that they just opened and made available eight additional parking positions even though they are remote positions but the distance is not much. So no, we don't see a direct correlation there.
Jose Montero - Chief Financial Officer: I'd say the expansion of the airport is yet another benefit to our business model, and the fact that our home airport continues and has continued to improve its infrastructure along with us. So it's – we actually see it as a big benefit to our business model going forward.
Pedro Heilbron - Chief Executive Officer & Director: And then actually, the delay in completing the work, it's not a problem either because as we mentioned, we will have flat fleet rules next year. We will not add net (56:19) aircraft next year. So we will not be needing a lot more space at the airport. And then maybe by 2018, we can start growing again, and then the airport will open then. So the timing seems to be the right one.
Rogério Araújo - UBS Brasil CCTVM SA: That's very clear. Thank you very much.
Jose Montero - Chief Financial Officer: Thanks.
Operator: Our next comes from the line of Josh Milberg with Morgan Stanley. Your line is now open.
Joshua Milberg - Morgan Stanley Corretora de Valores Mobiliarios SA: Hello. Thank you very much. My questions have been addressed.
Jose Montero - Chief Financial Officer: Okay. Thanks, Josh.
Pedro Heilbron - Chief Executive Officer & Director: Thank you, Josh.
Operator: Our last question comes from the line of Márcio Prado with Goldman Sachs. Your line is now open.
Márcio Prado - Goldman Sachs do Brasil CTVM SA: Yeah, thanks, operator. Thanks for the call. Just two brief follow-up questions. First one is on capacity redeployment. Pedro mentioned that you already reduced capacity in Brazil by about 30%. I just wanted to understand if there is still room for capacity redeployment within Copa's region of operations, I mean? And where capacity taken out from Brazil, Colombia and Venezuela could still be going? That will be the first question. And the second question is related to the cycle, I mean Pedro mentioned that capacity cuts have been implemented by several of Copa's competitors. And the yield guidance already provides a framework for the recovery in yields. But just if you could comment that if you think that higher oil prices could actually prove to be slightly positive as a way to accelerate capacity cuts and yield recovery in the region, particularly by U.S. carriers.
Pedro Heilbron - Chief Executive Officer & Director: Yeah. So that's what we're hoping for. I'll start with the second part first. That's what we're hoping for. But it's hard to predict. And we're forecasting a yield recovery from the second quarter but not from the first quarter and not from year-over-year from the previous year. So we're forecasting a small decline year-over-year for the second half, second half versus second half and versus first quarter and a recovery versus second quarter, which is looking extremely weak. In terms of – yeah, so hopefully with the currency stable and fuel slightly up, eventually, we'll see also yields recuperating, at least somewhat, not what we're seeing right now. In terms of capacity, we are doing a few things. One, we're reducing one aircraft this year, so some of those capacity cuts were going to get rid of the aircraft. And secondly, we're actually parking a lot more aircraft during our low season. So we do a little bit of more flying in this high season, but a lot less flying in the low season, and that's why we've brought down our ASM forecast in this guidance. So we are not redeploying that capacity from Brazil to other markets because that would just kind of be exporting the problem from one place to the other, so we're not doing that either. I don't know if, Jose, if you want to add something.
Jose Montero - Chief Financial Officer: No. (59:35) that we've been very active also in redeploying the capacity. As Pedro mentioned earlier, we have started flights to Holguin in Cuba. We're starting Rosario in Argentina. And so we've been very active and also in the redeployment of the capacity going forward.
Márcio Prado - Goldman Sachs do Brasil CTVM SA: Thanks. Thank you, Jose. Thank you, Pedro, for the answers.
Pedro Heilbron - Chief Executive Officer & Director: Okay. I think that...
Operator: I would now like to turn the call back over to Pedro Heilbron for closing remarks.
Pedro Heilbron - Chief Executive Officer & Director: Okay. Sorry. So okay. So thank you. I think this concludes our first quarter earnings call. Thanks for being with us. Thank you for your continued support. And I hope you have a very good weekend. Thank you.
Operator: Ladies and gentlemen, this does conclude the program. Thank you for your participation in today's conference. You may all disconnect. Everyone, have a great day.